Operator: Good afternoon and thank you for standing by. Welcome to the Deckers Brands Second Quarter Fiscal 2026 Earnings Conference Call. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. I'll now turn the conference call over to Ms. Erinn Kohler, VP, Investor Relations and Corporate Planning. Please go ahead, ma'am.
Erinn Kohler: Hello, and thank you, everyone, for joining us today. On the call is Stefano Caroti, President and Chief Executive Officer; and Steve Fasching, Chief Financial Officer. Before we begin, I would like to remind everyone of the company's safe harbor policy. Please note that certain statements made on this call are forward-looking statements within the meaning of the federal securities laws, which are subject to considerable risks and uncertainties. These forward-looking statements are intended to qualify for the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than statements of historical fact, are forward-looking statements and include statements regarding our ability to respond to the dynamic macroeconomic environment and the impacts on our business and operating results, including as a result of changes to global trade policy, tariffs, pricing actions and mitigation strategies and fluctuations in foreign currency exchange rates. Our current and long-term strategic objectives, including continued international expansion, the performance of our brands and demand for our products; anticipated impacts from our brand, product, marketing, marketplace and distribution strategies, product development plans and the timing of product launches; changes in consumer behavior, including in response to price increases, our ability to acquire new consumers and gain share in a dynamic consumer environment; our ability to achieve our financial outlook, including anticipated revenues, product mix, margin, expenses, inventory levels, promotional activity, anticipated rate of full price selling and earnings per share and our capital allocation strategy, including the potential repurchase of shares. Forward-looking statements made on this call represent management's current expectations and are based on information available at the time such statements are made. Forward-looking statements involve numerous known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from any results predicted, assumed or implied by the forward-looking statements. The company has explained some of these risks and uncertainties in its SEC filings, including in the Risk Factors section of its annual report on Form 10-K and quarterly reports on Form 10-Q. Except as required by law or the listing rules of the New York Stock Exchange, the company expressly disclaims any intent or obligation to update any forward-looking statements. On this call, management may refer to financial measures that were not prepared in accordance with generally accepted accounting principles in the United States, including constant currency. For example, the company reports comparable direct-to-consumer sales on a constant currency basis for operations that were open through the current and prior reporting periods. The company believes that these non-GAAP financial measures are important indicators of its operating performance because they exclude items that are unrelated to and may not be indicative of its core operating results. Please review our earnings release published today for additional information regarding our non-GAAP financial measures. With that, I'll now turn it over to Stefano.
Stefano Caroti: Thank you, Erinn. Good afternoon, everyone, and thank you for joining today's call. Deckers delivered outstanding second-quarter results ahead of our expectations on both the top and the bottom line. Specifically, in the second quarter as compared to last year, we drove revenue growth of 9% and a 14% increase in diluted earnings per share. These results closed out a solid first half for Deckers' fiscal year 2026 with highlights that include total company revenue growing by 12%, HOKA revenue increasing by 15%, UGG revenue rising 12% and diluted earnings per share growing by 17%. In the first half, our international regions remain the driving force behind UGG and HOKA revenue growth, increasing 38% versus last year. Year-over-year gains were led by the wholesale channel, in part from earlier shipment timing, while DTC also delivered strong growth for the first half. We continue to see progress from our brand-building marketing investments in these regions, helping grow HOKA awareness and expand UGG mind share with consumers around the world. I could not be more pleased with how our teams are executing our strategy and connecting with consumers who are increasingly looking to HOKA and UGG for innovation and newness. In the U.S., consumer sentiment is still under pressure, but we're encouraged by the signs of progress we have seen in our business and have maintained our focus to ensure HOKA and UGG remain positioned for long-term success. The U.S. marketplace remains dynamic, with recent consumer trends indicating a heightened preference for multi-brand shopping experiences. We believe UGG and HOKA are prepared to acquire new consumers and gain share in this environment with consumers wherever they wish to interact with our brands as with strong brand partnerships with premium wholesalers, which help elevate our brands, UGG resonates with consumers with high-quality distinctive products that provide a unique tactile experience, HOKA sees the highest consumer adoption when people can try its unique blend of technologies, geometries and materials firsthand on their feet. We view this as a strategic opportunity to continue expanding our consumer base across both brands while maintaining this relationship through our direct-to-consumer business. This approach supports our long-term objective of achieving a balance of 50% between direct-to-consumer and wholesale channels. As we enter our historically largest fiscal quarter, our brand and global marketplace teams are focused on delivering profitable growth and building UGG and HOKA for sustainable value creation. I'm confident that our solid foundation, sound financial discipline and nimble operations will serve us well to continue executing against our long-term strategic objectives. Steve will provide additional details on our second quarter financial results and an update on our latest fiscal year 2026 projections later in the call. Prior to that, I will share further details on first half brand performance as well as the forward direction we see for HOKA and UGG. Starting with HOKA. Global HOKA revenue in the first half increased by 15% versus last year. Performance was driven by consumer-led updates to the brand's 3 largest road running franchises, the Clifton, Bondi and Arahi as well as exciting updates in the trail category with the expansion and evolution of the Mafate franchise. Bondi, Clifton and Arahi have continued to deliver strong growth and impressive sell-through rates for the brand as consumers embrace the significant enhancements implemented by our product team. The success of these top franchises helped HOKA gain market share. According to Circana, HOKA gained 2 points of market share in the overall U.S. Road running category for the past rolling 12 months ended September 25 and also outpaced the competition in Europe as one of the fastest-growing road running brands across Italy, France and Germany for the first half of 2025. Beyond the success of top franchises, the HOKA team is making great progress developing product families deeply rooted in the brand's origins. We're leveraging a multilayered approach to build recognizable icons that resonate across multiple categories and use cases, including dimensions of peak performance, everyday performance use and versatile active lifestyle. The Mafate, HOKA's original shoe is the latest example of how we are aligning our products within these key dimensions. Mafate X was created to deliver peak performance through maximum cushioning and carbon plate propulsion for agile long-haul efforts on the trail. Mafate 5 was upgraded to adapt to all types of trail terrain with premium performance cushioning and traction. And the Mafate Speed 2 has been reintroduced on the archive with an updated aesthetic to achieve a contemporary active lifestyle look. This product family has already contributed meaningful growth during the first half of the year and now accounts for a larger share of total brand revenue, supported by targeted marketing initiatives that have strengthened consumer awareness, visibility and alignment with HOKA's brand heritage. We have previously discussed the importance of the UTMB World Series finals in Chamonix, France, where HOKA is a title sponsor. The event includes 7 races attracting top trail runners from around the globe and nearly 100,000 spectators. HOKA reinforces leadership in UTMB, and it was the top brand in overall shoe share as well as among top 5 finishers, including first place finishes for HOKA athletes Jim Walmsley, Francesco Puppi and Martyna Mlynarczyk. Our marketing initiatives for the HOKA brand are designed to establish coherent product narratives that foster consumer engagement and encourage adoption across our portfolio. We're seeing traction with our approach to building product families that are supported by marketing investments. This approach will, over time, allow us to further segment and differentiate the marketplace. You will soon see this product strategy evolution come to life through the Mach franchise, where we recently introduced the X 3 peak performer in the lineup. And in spring '26, we'll be launching the Mach 7 and Mach Remastered for everyday road running and active lifestyle, respectively. From a regional standpoint, HOKA's performance in the first half was driven by the strength of our international business, where the brand continues to grow awareness and gain market share. We tailor our strategy for each region, taking into account the unique stages of brand distribution and awareness while staying attuned to evolving consumer preferences. What remains consistent is our focus to maintain high levels of full price selling as we continue to expand our presence within the premium and elevated marketplace. And we're very pleased with the HOKA brand's results across the board. HOKA has seen consistently strong gains across all international regions throughout the first half, with notable incremental revenue contributions from EMEA and China. In the EMEA region, HOKA is driving impressive results across all countries and segments of distribution, including market share gains and robust reorders with our specialty partners as we continue to drive double-digit growth. Best-in-class sell-through with our key sporting goods partners, significant percentage gains with athletic and lifestyle specialty accounts, where we are just beginning to build our business and broad-based strength in our DTC channel across Germany, France, Italy and the U.K. with our first German store opening in Berlin and a pop-up retail experience in Chamonix for UTMB. In China, the HOKA brand's premium positioning and product innovation continue to drive resilient consumer demand. Highlights include new store openings in key cities that are attracting strong consumer interest, substantial growth in loyalty membership with particularly strong gains with females and younger consumers, industry-leading full price selling and sell-through rates for wholesale exceeding the goals set for mono-brand partner locations. As we navigate a dynamic U.S. marketplace, HOKA continues to gain market share in the athletic footwear category, and we remain dedicated to controlling distribution and driving a pull model demand. There are a number of positive signals for the HOKA brand U.S. business that give us great confidence in the vast opportunities ahead for this brand with wholesale sell-through increasing double digits in the first half. DTC is delivering a sequential improvement from Q1 to Q2, maintaining a high-quality full-price business, a strong Spring/Summer '26 season order book, and positive feedback from retailers on our fall '26 product line. HOKA is a disruptive and transformational brand with the ability to further capture billions of incremental global market share dollars. Across both domestic and international markets, we'll continue to uphold our disciplined approach to marketplace management by building our DTC business and carefully exploring potential expansion into attractive wholesale channels and partnerships. We are committed to building sustainable growth for HOKA and are confident in the strategy we're executing to achieve this goal. As we enter the second half of fiscal '26, our priorities are driving healthy sell-through and gaining market share, leveraging our enhanced DTC loyalty program to drive consumer engagement, preparing the marketplace for spring '26 updates to Gaviota, Mach and Speedgoat franchises, and investing in marketing to build global HOKA awareness. Moving on to the UGG brand. Global UGG revenue in the first half increased by 12% versus last year. The UGG brand's first-half performance stayed consistent, fueled by our key brand initiatives. Top-performing styles remained in line with our 365 focus. Men's footwear achieved growth at twice the rate of the overall brand. International regions accounted for the lion's share of our growth. We are especially encouraged by the consumer response to newer products and expanded franchises aligned to our men's and 365 initiatives. Including the Mel franchise, which across sneaker, chukka and Chelsea silhouettes has more than doubled versus last year in the first half. The Classic Micro, our most versatile derivative to the original Classic boot, debuting as a top 5 style across DTC and wholesale and also the Zora Ballet Flat, an unmistakable UGG version of the timeless silhouette that is significantly outperforming our expectations in its first month since launch. While these products have driven positive sell-throughs, I would note that wholesale sell-in was the driver for total UGG brand performance in the first half, which includes benefits from earlier shipments that were carefully curated in alignment with our marketplace management strategy. These shipments have provided greater opportunities for consumers to discover UGG at wholesale points of distribution, which we believe in combination with the shifts to consumer shopping habits has put pressure on our DTC business near term. From a regional perspective, as anticipated, international markets are leading our growth, but we have seen a very strong order book conversion across all regions. The consumer response to our fall '25 collection has been very consistent globally, with consumers gravitating towards fresh seasonal colors and transitional newness such as the Classic Micro, Astromel, PeakMod and Zora Ballet Flat. This quarter, these styles saw gains as consumers preferred versatile buy-now, wear-now items. As we prepare to ignite UGG season, our teams have created cohesive brand stories with our iconic style and iconic design global marketing campaigns, aiming to generate excitement and drive consumer engagement. In August, UGG's Iconic From the First Step campaign featuring Stefon Diggs, Sarah Jessica Parker and Founder Brian Smith to celebrate the brand's legacy. In September, UGG served as the official starting partner for Highsnobiety's New York Fashion Week opening ceremony party aimed at building fashion credibility with influential males. At the beginning of this month, to celebrate Paris Fashion Week, UGG took over the atrium of Galerie Lafayette to create a curated icons pop-up store. And tomorrow, UGG will launch an aspirational product collaboration with the renowned Japanese fashion label, Sacai. These brand activations help the UGG brand generate momentum with consumers, while at the same time, maintaining cultural relevance. And our team will continue to build upon the compelling content we've created to elevate the brand and amplify key seasonal product stories. I'm confident that the global marketplace is well-positioned for UGG season. Thanks, everyone. I'll now pass it off to Steve to discuss our second-quarter financial results and provide an update on fiscal year 2026.
Steve Fasching: Thanks, Stefano, and good afternoon, everyone. We are extremely proud of the results achieved in the second quarter and first half of our fiscal year 2026. For the second quarter, HOKA delivered more balanced growth across wholesale and DTC led by the strength of international and included sequential improvement in U.S. DTC compared to the prior quarter as we continue expanding the brand's presence to gain global awareness and market share. The UGG brand drove robust wholesale growth also led by the strength of international as we prepare the global marketplace for the brand's peak season. Our disciplined approach, flexible operating model and strong balance sheet continue to position us favorably in a dynamic marketplace as we head into the second half of our fiscal year 2026. We remain energized by the opportunities ahead for HOKA and UGG and look forward to further progress towards our long-term vision for these consumer-loved brands. Now let's get into the details of our second quarter results. Second quarter fiscal year 2026 revenue came in at $1.43 billion, representing an increase of 9% versus the prior year. Performance in the quarter was driven by HOKA and UGG, which increased 11% and 10% versus last year, respectively, with small offset primarily from winding down stand-alone operations of smaller brands. For HOKA, wholesale remained the primary driver of growth, increasing 13% in the quarter as the brand continues to experience strong sell-in and healthy sell-through with innovative and compelling products that are resonating with consumers. HOKA DTC grew 8% versus last year as international momentum carried through from the previous quarter, and we saw improvements in the U.S. business as anticipated. For UGG, growth was driven by wholesale, increasing 17% in the quarter, which was partially offset by a 10% decline in DTC. Wholesale strength was driven by strong demand from our retail partners, including earlier demand as well as European shipments that were pulled forward related to our upcoming third-party warehouse transition. UGG DTC was softer than anticipated, as we have continued to experience pressures from better in-stock positions with our wholesale partners due to increased allocations delivered earlier in the year in an effort to match the demand that has continued to build in recent years. A more challenging macroeconomic environment for the U.S. consumers with shifts in consumer preference toward multi-brand in-store shopping experiences. Additionally, we believe these factors will continue to have an impact on UGG growth in the second half. Gross margin for the second quarter was 56.2%, up 30 basis points from last year's 55.9%. Second quarter gross margins compared to last year benefited from price increases, favorable product mix, favorable foreign currency exchange rates and factory cost sharing with partial offsets from incremental tariffs on U.S. goods and channel mix headwinds. As a result of our price increases being implemented at the beginning of July, in combination with actions to bring additional inventory in ahead of increased tariff rates being implemented, we saw a slight delay in the net headwind of tariffs and did not experience a meaningful negative impact in the second quarter compared to the prior year result. However, this is unique to the second quarter, and our expectation of net tariff headwinds in the back half of fiscal year remain largely unchanged. SG&A dollar spend in the second quarter was in line with expectations at $477 million, up 11% versus last year's $428 million as we continue investing in key areas of the business. As a percentage of revenue, SG&A was 33.4% versus last year's 32.7%. Our tax rate was 21.7%, which compares to 24% for the prior year as a result of onetime benefits recorded in the quarter. These results culminated in diluted earnings per share of $1.82 for the quarter, which is $0.23 above last year's $1.59 diluted earnings per share, representing EPS growth of 14%. In terms of our second-quarter performance relative to the guidance we provided in July, gross margin was the primary driver of EPS favorability. Again, the better-than-expected gross margin result was largely driven by favorable timing of tariff-related variables unique to the second quarter, with benefits of our pricing actions flowing through in advance of the full burden from increased tariffs. Turning to our balance sheet. At September 30, 2025, we ended September with $1.4 billion of cash and equivalents. Inventory was $836 million, up 7% versus the same point in time last year. And during the period, we had no outstanding borrowings. During the second quarter, we repurchased approximately $282 million worth of shares at an average price of $109.31. As of September 30, 2025, the company had approximately $2.2 billion remaining authorized for share repurchases. Now moving into our forward-looking update. We are now providing an outlook for our full year fiscal 2026 and expect total company revenue of approximately $5.35 billion, with HOKA increasing by a low teens percentage versus last year and UGG growing in the range of a low to mid-single-digit percentage. Gross margin of approximately 56% as we anticipate headwinds from the impact of tariffs as this becomes material in the back half of this fiscal year with partial offsets from our mitigation strategies and normalized levels of promotion in a more pressured macroeconomic environment. SG&A to be approximately 34.5% of revenue, reflecting our commitment to investing in the long-term opportunities of our powerful brands. This results in an expected operating margin of approximately 21.5%, which remains at a top-tier level of profitability relative to our peers. We are projecting an effective tax rate of approximately 23%. And finally, we expect earnings per share in the range of $6.30 to $6.39. This guidance assumes a blended growth rate of approximately 9% from our 2 largest brands as we have streamlined our brand portfolio to focus on our most profitable long-term opportunities and expect to yet again deliver record years for UGG and HOKA, each with annual revenues north of $2.5 billion and significantly contributing to our best-in-class profitability profile. Within this revenue guidance, we continue to expect international to outpace U.S. growth and global wholesale to outpace DTC for this fiscal year. Over the longer term, our focus remains to create a balanced business across regions and channels as we continue building our consumer base, bolstering connections with consumers through direct relationships and capturing incremental market share for years to come. Regarding tariffs, with timing-related favorability seen in the second quarter results and our expectation of tariff impact in the second fiscal half largely unchanged, we now expect the unmitigated tariff impact on fiscal year 2026 to be approximately $150 million. Further, we now estimate that our mitigation efforts for this fiscal year will offset approximately $75 million to $95 million of this pressure, including benefits from select strategic and staggered pricing increases as well as partial cost sharing with factory partners. Please note, this guidance excludes any unforeseen charges that may be considered nonrecurring to our ongoing business or impact from any future share repurchases. Additionally, our guidance assumes no meaningful deterioration of current risks and uncertainties, which include, but are not limited to, further updates to imposed tariffs or other global trade policy, changes in consumer confidence and recessionary pressures, inflationary pressures, fluctuation in foreign currency exchange rates, supply chain disruptions and geopolitical tensions. Overall, our second quarter and first half fiscal year 2026 results illustrate the strong demand for our brands and strength of our disciplined model, giving us conviction to provide and achieve a compelling outlook for fiscal year 2026. We remain confident in the growth trajectory of our consumer-loved brands as our top-tier levels of profitability provide opportunities for targeted investments supported by our fortified balance sheet, all of which position us effectively to drive sustainable growth over the long term. Thanks, everyone. I'll now hand the call back to Stefano for his final remarks.
Stefano Caroti: Thank you, Steve. Before we take your questions, I would like to highlight that our brands have continued to perform very well through the first half of this fiscal year. More importantly, we remain committed to supporting and strategically managing our brands to ensure sustained long-term growth. We believe that both HOKA and UGG are well-positioned across the global marketplace as we enter the holiday quarter, and our teams are energized and hyper-focused to deliver our full-year guidance. HOKA has established itself as a prominent global performance brand, extending far beyond its disruptive origins. HOKA is just beginning to realize its full potential and capability to innovate, and we are excited to continue building this transformational brand. And UGG brand continues to inspire generations of consumers with its iconic products and its global appeal. This powerful brand has established a unique position in the marketplace with a strong, loyal customer base and an ability to capture new audiences through compelling product evolution. These 2 premium brands maintain a strong commitment to the original values, consistently creating purposeful products while adapting to the evolving demands of their respective global customer base. We are very excited about the opportunities ahead and remain focused and disciplined on our approach to delivering long-term sustainable growth and value creation. I'd like to sincerely thank all of our valued employees across the Global Deckers team for their continued commitment to our collective success. Thank you all for joining us today and thank you to our shareholders for your continued support. With that, I'll turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Laurent Vasilescu, BNP Paribas.
Laurent Vasilescu: Stefano and Steve, very glad to hear that you are reinstating guidance here. And I wanted to ask about that. Originally, Steve, the framework, I think, on the fourth quarter call was calling for HOKA to grow mid-teens for this year, UGG to grow around mid-single digits. I think last quarter, I think there was greater confidence in that framework. With today's guide, lower expectations on those 2 metrics, can you maybe just unpack that a little bit more? Is there just a degree of conservatism? And I didn't hear anything about weather with regards to UGG of the low single to mid-single, but do you think that's a factor playing into your guidance?
Stefano Caroti: Laurent, this is Stefano. We have 2 of the healthiest brands in the global marketplace with a very strong and loyal consumer base and a growing global demand. Our first half demonstrates the strength of these brands. For the back half, we are anticipating a more cautious consumer as the full impact of tariffs and price increases will be felt here in the U.S. Having said that, our brands are well-positioned when the consumer shows up for the holidays. And as always said, we don't manage our business month-to-month and quarter-to-quarter. We build brands for long-term profitable, sustainable growth.
Steve Fasching: Yes, Laurent, this is Steve. I think just to talk a little bit about the guidance and kind of reorient everyone in terms of what we said at the beginning of the year, and you're right, we didn't give full year guidance and the fact and appreciate your recognition of that, giving guidance now, I think, is a demonstration of our confidence of how well our brands are performing in the marketplace and the continued path that we see on that. Part of the framework that we gave at the beginning of the year really said, if tariffs did not have an impact on consumers, how we saw kind of certain growth. And we still believe that, right? But we do know and we are more currently seeing some impacts on the U.S. consumer. So as U.S. consumers are beginning to see some price increases, it is impacting their purchase behavior within the consumer discretionary space. And so as we now look out at the next 6 months to give the full year guidance, our HOKA back half still is a low teen guide. So in many respects, we're not off of what we originally thought, maybe a little bit of a reduction, but we are now anticipating the impact of tariffs. So I think that's a demonstration, again, that the brand continues to do better than what we thought in a tariff-imposed environment. So we feel good about that. To Stefano's point, we're going to manage these brands for the long run. We're not going to try to chase growth in a current period that could be detrimental to the brand. And again, that is what our guidance reflects is we are going to maintain these brands. We're going to manage them in the marketplace that allows us to grow these -- grow these meaningful over a sustainable longer period of time. And I think that is a bit of what you're seeing in our guidance. And yes, we do know that the revenue is below where the consensus was. We're taking into account a consumer who's a little bit more cautious. I think is there opportunity that we could do better? Sure. And we'll see how the consumer shows up. And that's how we're looking at it. From an inventory position, we have inventory that if the consumer shows up, we will be able to capture some upside to this. But we're confident, again, in how our brands are performing in the marketplace internationally and domestically. We know domestically that the U.S. consumer is a little bit more pressured. So we're reflecting that in our outlook for the next 6 months. But again, our positioning of the brands remains with long-term sustainable growth in mind. And then just the other bit on the guidance. I think, again, we're showing a demonstration of how we can manage our business from an overall perspective. So even with a more conservative approach on some of the revenue guidance, we're still delivering profitability on a consensus bracket for the full year. So again, I think we will continue to manage these brands in a healthy way and drive long-term sustainable growth.
Laurent Vasilescu: Very helpful. And then, Steve, just to understand a little bit more on the back half guide for HOKA, low double digits. I know you don't guide anymore by quarter out, but any nuances we should consider just because there are some compares that we can look at between 3Q and 4Q. I thought it was also interesting that you mentioned there's some positive reception regarding spring/summer order books. Maybe can you unpack that a little bit more?
Steve Fasching: Yes, sure. I think in terms of how we're looking at the back half, more pressure in Q3 with more growth in Q4. So -- and again, I think that's where we're going to see how the consumer shows up kind of Thanksgiving through the holiday season. That's one thing that we're going to keep a very close eye on. We believe our brands are positioned better than most, right? If the consumer shows up, our brands are positioned to capture that demand. And so really, this is more about how does the consumer show up. So we're being a little bit more cautious with our third quarter growth with a little bit more aggressive growth in the fourth quarter. And then to your point on the order book, and I'll let Stefano jump in here, very confident with how things are shaping up and the consumer response to our products.
Stefano Caroti: Yes. So, I'm very happy with what the teams have done specifically in the U.S. market for HOKA. We are growing awareness. We're gaining share really across every country. But specific to the U.S., the marketplace is clean. Sell-throughs are stronger than sell-in. Our full-price business is very, very strong. Our key franchises, Clifton, Bondi and Arahi are performing well in the marketplace. And our most recent product launches have also performed well and referring to Challenger, the Mafate family, Mafate X, Mafate 5, Rocket X 3, Rocket X Trail. Our order books are healthy. We're gaining share in Performance Run. We're back to #1 in specialty. And we're well set up with the transition to these new models I just mentioned. So our marketing also has been resonating, and we're seeing improvements also in our DTC business. So all is good on the HOKA side of the U.S.
Operator: The next question is from John Kernan, TD Cowen.
John Kernan: Steve, can you talk to the split between DTC and wholesale in Q3 and Q4 a bit more? The DTC compare gets a lot easier as you enter the fourth quarter. You did provide some color to Laurent's question. Just curious, the channel split between wholesale and DTC and what you're doing specifically to reaccelerate DTC same-store sales or omnichannel comps, particularly in America -- in the U.S.
Steve Fasching: Yes. I think from a total company DTC perspective, we expect to continue to see improvements in Q3 and then further improvements in Q4. I think also important just to -- as you look at our growth and understand kind of what we said about this year is, again, remember, as we're expanding wholesale this year, we said much of that was going to come in the first half of the year, right? And that's what we've delivered and more so. And I think that's a demonstration of the strong demand that's out there for both brands is that our wholesale partners to get their hands on product earlier, they wanted to be able to showcase product earlier. And so we were selling in into that environment. That has put some pressure on our first half DTC. So with expanded distribution, right? It's more a demonstration of the growth of our demand for our brands and really a timing effect. And so it's not an indication of things kind of slowing down for brand and from a demand perspective, they are still increasing. And on a full-year basis, it still has increased. But as we've shipped more of that in the first half of the year, you're just seeing kind of a timing flow of that. And so in respect to that, right, that's where we'll see a little bit or expect a little bit more DTC growth on a percentage basis in the back half, a little bit more in Q3, a little bit more in Q4. And then with selling more in the first half in wholesale, you're going to see kind of lower numbers as a result of having more products move into the wholesale channel earlier in the year.
John Kernan: That's helpful. And you obviously called out the company's top-tier profitability. I think you have the highest operating margin structure of anybody in the athletic footwear and apparel space. I was just curious, as we look into next year, obviously, tariff pressure is going to be pretty significant in the first half of the year. How do we put guardrails on the long-term margin structure of the business? We're finishing this year around 21.5%. Is north of 20% plus operating margins, how you look at the business long term?
Steve Fasching: Yes, it's a good question, John, and we appreciate it. Clearly, right, what you're seeing. So last year, we delivered exceptional levels. Again, this year, I think in comparison to what others are saying, it's going to be another exceptional year with half of the year being impacted by tariffs. Next year, you're going to have kind of another half of year. So that will be a headwind to further margins. But again -- and I think you can see, as demonstrated by Q2, how we manage our business. So we are continuing to organically grow our business. The demand for our brands continues to increase. And at the same time, we're doing, I think, a very good job of managing an uncertain, volatile environment. And you can see how we've mitigated some of those tariff impacts in Q2, where we earlier thought that we would see some headwinds, we were able to take some actions and mitigate some of that and flow that improvement through. And that's what you're seeing on that gross margin. We will continue to operate in that disciplined approach. But yes, to your point, we're going to continue to see tariff headwinds as we look into FY '27. We're not in a position yet to kind of give guidance on that. But yes, you will assume further pressure.
Stefano Caroti: And our strong financial profile will also allow us to invest in capabilities we're building, whether it's innovation or apparel, or technology digital.
John Kernan: Got it. And then the gross margin pressure you're guiding to in the back half of this year, it's safe to assume at least that magnitude carries into the first half of next year, I would assume.
Steve Fasching: Yes, correct. If the tariffs stay in effect the way they currently are, yes, equivalent.
Operator: Up next, we'll hear from Adrienne Yih from Barclays.
Adrienne Yih-Tennant: This is probably for both of you, both Stefano and Steve. Can you talk about kind of the price actions that you have taken at both brands earlier in July? Earlier in back-to-school, it seemed like those price actions didn't have a lot of impact on the demand, but obviously, that was kind of in the back-to-school time period. Is there something that you've seen either sell-through in the channel at your own DTC or maybe on the products that actually had those price increases that has given you a little bit more concern about the consumer? And then, Steve, my follow-on is, how are you seeing -- it's a really good point on more points of wholesale distribution, right, because there's more places to buy the product. But how are you thinking about when we kind of see a more normalization in the DTC versus wholesale balancing?
Stefano Caroti: Adrienne, on the pricing question, we have premium brands and premium brands have more elasticity than other brands. And we've been very selective and strategic in our price increases. And we have not seen any issues. Sell-through on key styles continues to be strong for both UGG and HOKA. No issues so far.
Steve Fasching: And then on the wholesale question, it's a good one, and we appreciate you asking it. I think if you go back 1.5 years or 2 years ago, we talked about how we are in the marketplace significantly underpenetrated in wholesale in comparison to many of our peers. So many of our peers are selling in a lot more points of distribution, wholesale distribution, than we are. And we've talked about marketplace management for years now about how we do this. And this is how we lean into wholesale. And I know there's questions out there about, oh, their growth is coming through wholesale. Yes, we're putting more shoes on feet, right? And -- but we're doing it in a strategic long-term way, right? We're not chasing growth in a quarter or in a year, trying to blow out wholesale distribution just to show sales increases. This is how we're expanding our brand globally and sustaining longer-term growth over a longer period of time. Does it mean that we deliver slightly lower levels of growth rate in the current period as we continue to expand, but are able to sustain longer-term growth rates? Yes, that's what we're doing. And so last year was a big year of wholesale expansion. We are anniversarying some of that this year as well as some additional wholesale expansion this year, but that will begin to slow. It doesn't change our outlook on that balance that we talked about of getting to 50-50 wholesale to DTC. So we're still on that. You will begin to see wholesale growth slow a little bit and DTC again begin to pick up. But again, this is about taking opportunities, increasing demand in the marketplace, giving consumers more points to purchase product and overall leading to more shoes on feet. And that's what we're building.
Stefano Caroti: Yes. And we operate an omnichannel model, and we have the ability to flex and react to consumer demand as needed.
Operator: The next question is Samuel Poser from Williams Trading.
Samuel Poser: I got a handful. Number one, you talked about the healthy order book in for spring. I assume that's for both UGG and HOKA. Can you define what that means, please?
Stefano Caroti: Sam, we provide those details, but we are very happy with the order book that we have for spring/summer '26 and the early reaction to fall '26.
Steve Fasching: Yes. And I think, Sam, it's fair to say that it's up, right? And that's why we're happy that we're seeing increases in order book.
Samuel Poser: And can you talk a little bit -- I'm going to get into a little bit of weeds here. Can you talk a little bit about like how -- especially with the UGG brand, sort of in and out of back-to-school, how you saw both in your own DTC and within your wholesale partners, because you get sales reports, how you saw that business like peak in valley? And are you seeing any big differences between the peak like peaks and valleys versus last year? And I mean, because I'm really wondering what -- sorry, go ahead.
Stefano Caroti: It's a good question, Sam. What we're experiencing, and this is probably due to the consumer uncertainty in the U.S., is deeper valleys and higher peaks. Back-to-school is strong, and we anticipate to have a strong holiday season. But September, October are typically not the strongest months in our space.
Samuel Poser: And so that leads to -- are you -- is your guidance for the back half and I guess, particularly holiday, is it more about what you saw during back-to-school? Or is it more about sort of what's going on right now? Because given those peaks and valleys and given the fact that in your own DTC business, you'll do every day between Thanksgiving and Christmas, you'll do more business in a day than you basically do in a week, July through probably the beginning of October. I'm wondering how much of this is just real caution or my favorite saying. So I won't say that in front of everybody, guys, but you do live near the beach out there. And I'm just wondering how much of the -- because I mean, consumer seems to want your product. It seems to be -- and so the concern about the consumer it seems like whatever they're buying your stuff at full price. You're not getting margin pressure, you're not getting those things. So the fact is they're not buying Jo's Frye boot brand. They generally want UGG, and they're not buying Champion sneakers because they want HOKA. And so either they want your brand or they don't. And you talked about the elasticity you had in price, which tells me that you actually believe that the consumer is buying your stuff regardless. So why so much caution around this macro consumer like, oh my God, the consumer in the U.S. might be hurting, but they still seem to go to your brands, not to us.
Steve Fasching: Yes. I think, Sam, on that, clearly, our guidance for the year, which is reflective of the next 6 months, is taking into consideration what we're currently seeing kind of right now. And so I think that's where the question is, right? It's not about question about how we think our brands are placed in the marketplace. We think we're, again, positioned better than most and in many cases, very well positioned. But we'll have to see how the consumer begins to show up. I think some of the economic signals are consumers are beginning to see higher prices. Inflation is starting to affect them more in the U.S. And so there is some caution on our part as we take that into consideration. And again, we don't want to just chase sales because we want to achieve a higher number. We're about building brands for the long term. And so we don't want to do something in the quarter that could be detrimental to us in the longer term. So to your point, yes, we're taking a little bit of caution in there. We don't know how the consumer is going to show up, but we do know if the consumer does show up, we're better positioned than most.
Samuel Poser: And then lastly, Stefano, with HOKA, are you -- are there any lower profile max cushioning? Or are we going to see any evolution to lower-profile shoes out of HOKA?
Stefano Caroti: Yes. You will see more lower-profile solutions going forward. Ready for spring, we have the new Solimar that's been very well received. The new transport on our lower profile tooling. We have the Speedgoat 2 in lifestyle that is resonating and it's a lower profile than what we had in the past. So you'll see a more vast array of products going forward.
Operator: The next question is from Jonathan Komp from Baird.
Jonathan Komp: I want to follow up on HOKA. Hoping that maybe you can be a little bit more specific when you think about changes to the product launch plans into 2026, just any more details on what we should expect broadly and then maybe for some of the key styles going forward, the big 3 in terms of cadence and plans? And then just bigger picture on HOKA, as you talk about having potential to add billions of revenue yet. Can you give somewhat of a buildup or some of the big buckets or growth opportunities that you see when you make that comment?
Stefano Caroti: Yes. Let me start with the latter. So we're focusing on a handful of categories for HOKA. It's performance run a trail, it's hike, it's fitness, it's a lifestyle. And over time, you also see apparel. So those are the 5 key areas of growth for us. And we compete in a $0.5 trillion market, and there's plenty of upside for HOKA, both in the U.S. and internationally. As we continue to grow awareness and consideration, we should continue to grow our brand in a healthy way. As regarding product transitions, we have tightened inventory of key outgoing style as we prepare for the upcoming launches of Gaviota, Mach, Transport and Speedgoat. So you should see -- experience less noise in the marketplace as we have bought less and tight inventories. And in regards to cadence, you will see an update to our biggest franchise, the Clifton in fall '26. So Clifton and Bondi will no longer overlap.
Jonathan Komp: Okay. That's helpful. Steve, one follow-up then on margin. It looks like the back half margin for operating margin pointed in the low 20% range. Historically, when the back half was in the low 20s, the full year margin was more in the high teens, below 20% on an annual basis. Is that the run rate for the business currently, as we think about annualizing some of the second-half pressures? Or how should we think about the back-half margin guide in relation to the current annual run rate that you're performing at?
Steve Fasching: Yes. I think, John, just on that, as we look at the back half kind of this year in comparison to kind of last year, the declines that we're reflecting are really being driven by the tariffs, right? So in terms of how we're running the business, how we think about margins and the margin profile of the business, really, the change that you're seeing in the back half is tariff-driven. So that's what we expect, again, based on the tariffs as they're imposed today.
Jonathan Komp: And just a follow-up, given the discussion about maintaining premium positioning, should we view that pressure and the unmitigated portion that you guided to for tariffs, is that more temporary? Or is that a permanent step down in the margin that you're willing to give up potentially?
Steve Fasching: Yes. So the margin change that you're seeing between last year and this year is going to be driven by the tariffs. And then we'll see kind of if promotion changes, we do have an element of promotion assumed for the back half. So we'll see that. Again, the biggest driver being tariffs, that's the overall driver, but there is a level of promotion given the environment today. That will, again, to the earlier question. I think that John asked is that, that will also trickle into FY '27. Again, we haven't given any update on '27, but the first half will be pressured by that margin. But -- so there will be an overall headwind. We have done, I think, a very good job of mitigating that in Q2, and that's what you saw us deliver. We don't have the same levers necessarily going into the back half nor will we have those levers kind of going into. We were able to take advantage of inventory movements that now that the tariffs are fully into effect, you won't necessarily get -- you'll get that benefit into future periods. So -- but we'll continue to look. As we talked about some of our mitigation strategies, we'll again continue to review pricing. To an earlier question, we didn't really see much pushback on some of our price increases. So we'll always -- with a strong brand that's well positioned in the marketplace, we'll continue to evaluate levers that we have. But the way we're kind of currently looking at it, we still have headwinds in the back half that will continue into FY '27.
Operator: And our final question today comes from Jay Sole from UBS.
Jay Sole: Maybe, Stefano, first question for you. As you just think about calendar '25 for HOKA brand, do you see this year as a little bit of a transition year where you had sort of the accelerated life cycles of Bondi 8 and Clifton 9 and then you have this tariff situation where next year maybe is sort of not a transition year where you have a lot of newness and clean inventories in the marketplace and good brand momentum where you might see a different kind of momentum financially. And then I guess, Steve, the question for you is that I know this was asked on an earlier question, but the guidance before was, say, mid-teens for HOKA, assuming no tariffs. Now you're saying low teens for HOKA with tariffs. So if we had gone back to the beginning of the year and you would have given guidance for HOKA with tariffs, what would it have been? Or without giving you the exact would have been, would the guidance that you gave today have been in line with that? Would it have been better than that? Would it worse than that? Maybe if you could just frame that clearly for us, that would be super helpful.
Steve Fasching: Yes. Sure, Jay. I'll start kind of with that question, then Stefano can kind of talk about a bit of the transition year of 2025. So to your point, if we look back, I think one way to answer your question is that how we've seen HOKA perform, especially with the product transitions, we're very encouraged by the year. So to the point where in a pre-tariff environment, we saw mid-teens and the fact now with a tariff imposed world in the back half, we're low teens. I'm very encouraged by that, right? Because what it shows is even in a tariff-imposed world, consumers are still showing up for our brand, probably a little bit better than what we may have thought at the beginning of the year. So I think that speaks to how well some of our updates are resonating with consumers in the U.S. and globally, too, and you're seeing that in the global numbers. So where the tariff is impacting a U.S. consumer, I think we've seen a good response. And then we've seen a very good response from an international perspective, which gives us a view into that non-tariff-imposed world of a consumer response. So having seen that be very positive is actually very positive on the brand because I do think tariffs are having an impact on the U.S. consumer.
Stefano Caroti: Yes. And regarding the question on transition. Yes, it's -- '25 is a bit of a transition year. We probably have masked a few too many big product launches in the first half of the year, and we didn't space them out enough. There are a few learnings from us in the transition to the model. So I think it was a learning year for us. And hopefully, this will help going forward.
Operator: Thank you, everyone. That does conclude our question-and-answer session. This does conclude our conference for today. We would like to thank you all for your participation. You may now disconnect.